Operator: Welcome to the Bladex conference call. (Operator Instructions). At this time I would like to turn the conference over to Peter Majeski. Sir you may begin.
Peter Majeski: Good morning to everyone. My name is Peter Majeski, of i-advize Corporate Communications. Welcome to Bladex's fourth quarter and full year 2008 conference call on this 13th of February, 2009. This is a call for investors and analysts only. And if you are member of the media, you are invited to listen, but if you have any questions, please follow-up with i-advize after the call. Joining us today from Panama City, are Mr. Jaime Rivera, the Chief Executive Officer of Bladex, and Mr. Jaime Celorio, the Chief Financial Officer. Their comments will be based on the earnings release issued this morning. A copy of the long version is available on the Bladex's website at www.bladex.com. Otherwise, you can contact i-advize in New York at 212-406-3694. Any comments that management makes today may include forward-looking statements, as defined by the Private Securities Litigation Reform Act of 1995, and based on information and data that is currently available. However, the actual performance may differ due to various factors, duly cited in the Safe Harbor Statement in the press release, and we ask that you to refer to it for guidance. And with that I'll turn the call over to Mr. Jaime Rivera for his presentation. Please go ahead, Jaime.
Jaime Rivera: Thank you, Pete. Good morning ladies and gentlemen. As always, we thank you for your valuable time and for your interest in Bladex. As you might remember, I normally find our yearend call especially rewarding, it gives us the chance to talk about the Bank's performance from the perspective of an entire year's worth of work, but today's yearend call is particularly relevant because of the implications of the environment we are facing and because of the accounting entries related to the fourth quarter. So it is mostly around these subjects that we have tailored our comments and around which we will be glad to answer any of your questions. As a simple general opening statement from my point of view, 2008 consisted of two distinct periods, before September 15 and after September 15. Before September 15, we carried on with the work that we had been successfully pursuing for the last three years, growing revenues, diversifying our business, improving efficiency, carefully deploying our capital et cetera. And then came Lehman Brothers. The impact and the implications of the Lehman collapse on the international financial markets were apparent to us within 24 hours after the event. And this is what led me to state, if you remember during our conference on October 9, that given the difficult circumstances in the industry, we would be playing defense through yearend. Well, sometime around the second half of October, we reached a conclusion which at that time fell well outside the conventional wisdom. We concluded that these deteriorating conditions in the banking industry, as well as in the real economy in both the US and in Europe, would hit Latin America sooner and harder than originally expected. Having reached this conclusion, we immediately went about reducing risk levels in the Bank through a couple of basic means. First, we preemptively and aggressively collected on what we thought were individual exposures or concentrations that could prove vulnerable in the context of a prolonged economic slowdown. Now, as you might remember from our comments in October as well, banks and companies in our portfolio were generally carrying relatively little debt. Actually coupled with local liquidity levels than in October and November were still ample, allowed us to collect nearly $1.2 billion of exposure in less than three months, a remarkable real life demonstration of both the quality and the short-term nature of our portfolio. In addition to reducing credit risk, we also decided to strengthen our liquidity position; a last part of our efforts geared around liquidity, and despite what at the time were quite difficult market conditions, we were able to lengthen the tenure of the repo financing in part of our securities portfolio. We think of this as one of the soundest steps taken within the context of our liquidity plan. Still, accounting being what it is, the increased repo haircuts that were involved implied the need to account for these repos as outright sales, resulting in the non-cash charge to earnings that you see in our press release. It was a charge that, as explained in the text and as Jaime Celorio will review in a few minutes, had no impact on the economic value, cash flow, asset quality, or on any of the fundamentals of the Bank. It was a charge that given the changes that we have instituted in our funding methodology should not reoccur. So, accounting results notwithstanding, during the fourth quarter, we were actually quite pleased to achieve each and every one of our goals for the quarter. We strengthened liquidity. We reduced credit risk. We improved reserve coverage, and crucially, we preserved both asset quality and a very solid capitalization. Tactically, we believe that this is the combination that will be required of all successful financial institutions, as we all confront the economic downturn. And, we also believe that these prudent principles through which Bladex as you know has always adhered and which were at times misinterpreted, as I remember and sometimes even criticized as conservative has become the industry standard. It is unfortunate in our view that it should have taken such a major crisis for the argument to be settled, but because we are in the business of running a prudent degree of risk. Let me try to briefly summarize the main elements that I see working for and against us in the current environment. Working for us are diminished competition, widening intermediation margins, sterling client base, a proven ability to make credit goals, a solid capitalization, a flexible portfolio, and our asset management division's proven ability to do well under a variety of market conditions. Working for us as well is our ownership structure. Jaime Celorio recently pointed out to me that large segments of the financial industry are converging towards some version of Bladex's own combination of government and private ownership. A feature that has always been one of our key strengths, except that, of course, in our case the structure was the result of careful design rather than of unfortunate circumstances. And, that we've had by now more than 15 years to perfect the corporate governance that makes the model work so seamlessly. We are also encouraged by what feels like the beginning of a gradual, still fragile, but nevertheless real improvement in funding conditions. So, now few words on the elements currently working against us, elements creating risk that is; first and foremost, there is the uncertainty as to how long and just how deep the economic downturn will be, and its also about the ultimate impact, timing and cost of it all on our portfolio. Until the fog dissipates or the dust settles, we are managing this risk well by being specially selective in our credit disbursement, by keeping tenure short, collecting on selective exposures, and in addition, carrying higher than usual reserve and liquidity levels. These measures have so far proven quite effective, but they have come at a cost. As we said in October, we believe that this is no time to play hero, and quite frankly, we believe that we have probably been proven right in this assessment. So we will continue to pay this cost until circumstances justify a change. In the meantime all things been equal, we should be able gradually begin shifting some cash balances to fund loan growth again. The second risk element working against us is the impact of the deleveraging process on the value of our securities portfolios. Although they have recovered timidly in the last few weeks, it is a fact that security prices have taken a beating since September. Fortunately, and again by design, we were well prepared for this risk. Our capital is still ample backed, as you can see from our figures, we are quite comfortably able to carry the mark-to-market impact involved and can thus easily effort to wait for as long as it takes for prices to recover. Until then we will continue realizing intermediation spreads on what are our high quality instruments. Before passing it on to Jaime Celorio, I would like to make a few simple, very simple remarks about the strategic implications for Bladex of these interesting times. We are still trying to figure out what the new shape of the financial industry will be once this crisis is all over. And quite frankly, we still don't have an answer, but we do know this; first, by definition the new industry will belong to those still standing at the end of the crisis, Bladex crucially among them. Second, we know that we will find ourselves in a privileged position. We will be left as the only regional trade finance franchise in Latin America, well capitalize, liquid, enabled to choose among the options made available in the context of the new economy that will eventually emerge once the excesses of the old one have been shed. I know it is hard to think strategically these days, but from this perspective we are very, very well positioned. So with this, ladies and gentlemen, I would like Mr. Jaime Celorio to throw some light on the figures for the year and on the accounting entries for the fourth quarter. After Jaime finishes, we will be glad to take up your questions. Jaime, please.
Jaime Celorio: Thank you, Jaime. Good morning everyone. Thank you for taking the time to hear about our annual and quarterly results of 2008. I will explain the results for the full quarter in a context of an extreme volatile market environment where we have seen unprecedented turbulence in the markets, and why the Bank's main priority was to maintain strong liquidity, capitalization and asset quality. I would also be describing the 2008 annual results, where the Bank was able to deliver three straight quarters of profitability. For the full year net income was $55 million, and our traditional intermediation business through the Commercial division, performed well due to a significant increase in lending spreads, and effective credit risk management. The Treasury division suffered from the market dislocation, and the Asset Management business had a strong and steady performance during the full year 2008. Now, let me talk in detail about the performance and results of each business segment as well as the Bank's credit quality and financial performance. Let me start with the Commercial Division, where net operating income was $58 million, representing $16 million above 2007, or an increase of 37%. The main reason is due to the Bank's ability to increase the spreads. The weighted average lending spreads on loan disbursements represented a significant increase. As of the end of 2007, they were 111 basis points versus 352 basis points as of the end of 2008. There are three simple main reasons of the increase that I just mentioned, which are the following: Number one, less players in the region, number two, less availability of credit, and number three, a quicker re-pricing due to the short-term nature of our portfolio. During the last quarter, and due to the difficult economic environment, the bank decided to collect loans in order to reduce concentration, as well as reduce exposures to vulnerable sectors and clients. As a result, during the fourth quarter, the bank reduced by 21% its average loan balances versus the third quarter of 2008. It is very important to mention that the first three quarters were so strong that the bank was still able to finish the year with an average loan balance increase of 10%. The Commercial portfolio continues to be short-term and trade-related in nature. $2 billion or 65% of the Commercial portfolio matures during 2009. The breakdown of the portfolio for December 2008 was 60% in corporate segment, 38% in banks, and only 2% in sovereign. Also trade finance represents 66%, while non-trade represents 34%. As a result of the increase lending spreads net interest income as of December 2008, was $78 million, representing an increase of 21% from the $64 million as of December 2007. Contingencies during the end of 2008 were $444 million, a decrease of 19% versus a $550 million during the end of 2007 and an increase $67 million versus the quarter. Nevertheless, fees and commissions were up by almost $2 million in 2008. Let me take a minute here to discuss quality of our Loan portfolio. The Bank continues to have zero non-performing loans. That is the case since 2006. As Mr. Rivera just mentioned, because of concerns about the globally economic environment affecting the region, the banks continue to be very selective about risk. As a consequence, as of the end of 2008 the allowances for credit losses were stronger at the levels of 2.8%, compared to 2% during the previous quarter, and 1.9% during the end of 2007. So, that's it for the Commercial Division, let me now turn to the Treasury Division, where I will explain the fact of market dislocation and exceptional volatility of movements in yield curves. Liquidity was the name of the game during the fourth quarter. The bank increased its liquidity balance as of the end of 2008 by $826 million versus $396 million during the end of 2007. This means that the bank more than doubled its liquidity balance. The revisions had a net operating loss of $16 million in 2008, compared to a net income of $10 million in 2007. The 2008 results were driven by the application, basically of US GAAP FAS 140, which basically considers the accounting for transfer and servicing of financial assets and extinguishments of liabilities. These had an negative impact in P&L of $25 million, as well also there was a positive effect in P&L for $12 million regarding the valuation of local funding cross-currency swaps, based also in FAS 157 fair market value, especially in a particular volatile fourth quarter. Let me start first and explain the repo transactions that were considered as sales for accounting purposes. What's happened here is that certain securities' based financial transaction or repos, which is the way we normally call them, were executed with higher than usual haircuts. And you will say, well, what's higher than usual. We get this question and we say, as of last year we used to transact these ones in the neighborhood of [33%], those were basically the haircuts that we were using and these ones were about normal level for accounting purposes and these ones were between the level of 18%, 20% and 22% As a consequence the accounting treatment, these repos were considered as sales. Important to mention that the Bank fully expects to unwind the repos at maturity and report you the underlying bonds during the second half of March 2009, that means these are very short-term too. Given the fact that the Bank accounts for charges in the fair value of the securities portfolio and the corresponding interest rate swap hedges and considers unrealized gains and losses in the other comprehensive income account, the charges to P&L have no detrimental impact on the Bank's US GAAP capital. And furthermore, non-cash nature of the accounting adjustments means that liquidity was also not affected. Also, with the underlying security is [claimed] as through interest and principle, the Bank's asset quality also remains unaffected. It's important to mention that the Bank may reverse part of the accounting related charge in future reporting periods if the Bank can sell these securities at a gain, or just through the maturity of the bonds. The year-end portfolios of securities available for sale totaled $608 million and these represents a decrease of 21% from the third quarter of 2008, and an increase of 30% from the end of 2007. At the end of the fourth quarter of 2008, the securities portfolio represented 17% of the Bank's total credit portfolio and mainly consisted of Latin American securities, which by the way 82% of them were sovereign and state-owned risk in nature. The mark-to-market effect of the available-for-sale portfolio, as we have been mentioning before, is recognizing the stockholders equity through the OCI account or the other comprehensive income accounts. The balance as of the end of 2008 was $72 million versus $10 million during the prior year. And as Mr. Rivera mentioned, the Bank has strong capitalization in order to comfortably carry the mark-to-market effect. Finally, let me talk about the funding, our sources continue to be well diversified as of the end of 2008. By having 32% in deposits, 13% in repos, 21% in short-term borrowings, and the rest 32%, it's long term and debt borrowings. The Asset Management Division or BAM, which is the way we call the division, has a talented team of professionals that have been delivering solid results over the past two years, especially consider an unprecedented difficult market environment. The net asset value of the fund as of the end of 2008 was $151 million and represents an increase of $23 million in comparison with the $128 million balance as of the end of 2007. That means that 2008 return was 12.2%. This fund was ranked number one by Eurekahedge among the hedge funds with over $50 million in assets under management. As of December 31, 2008, Bladex owned almost 97% of the fund. One of the main objectives of the fund is capital preservation, while trading a strategic focus in three main assets; high liquidity, moderate volatility, and low leverage. And actually as of December 31, 2008, 90.8% of the funds' net assets under management were temporarily invested in cash. Now, let me say a couple of things about operating expenses. Total operating expenses for 2008 were $40 million, representing $3 million above the full year of 2007, mainly due to the investment fund, write-off of an information technology application, as well as some increase in professional services. But in the other offsetting the increase of these expenses that I just mentioned, was a decrease of 33% in employee variable compensation. The Bank is taking huge measures in order to adapt to the new economic reality, and therefore last week the Bank reduced its headcount by 12%. One last comment regarding the net interest margin, it changed by 1.55% as of the end of 2008 versus 1.73% a year ago mainly corresponds to lower interest rates as well as the cost of carrying a higher liquidity particularly towards the end of the year. Before I turn back the word to Mr. Rivera, I would like to emphasize that Bladex fundamentals as of the end of 2008 were solid. Tier 1 capital ratio was 20% versus 21% a year ago. ROE was 9% versus 12% a year ago, in spite of extraordinary portfolio of 2008. Liquid assets in percentage of total assets represented 19% versus 8% a year ago. Non-performing loans continue to be zero and the Bank continues to have the same leverage of only 7.6 times versus 7.7 times a year ago. With that said, let me turn over the word to Mr. Jaime Rivera for his closing remarks.
Jaime Rivera: Thank you, Jaime. Ladies and gentlemen, we will be glad to take up your questions. Please go ahead and let's have a conversation.
Operator: (Operator Instructions). Our first question will come from Saul Martinez with JPMorgan.
Saul Martinez - JPMorgan: Hi. Good morning, guys. Obviously, funding conditions deteriorated pretty significantly as you mentioned in the fourth quarter and that played a big role in your drive to preserve liquidity in the quarter. Can you give as a little bit more color as to what liquidity or funding conditions are today? I think Jaime, you mentioned briefly that we will beginning to see funding conditions improve a little bit. Can you just give us a sense for what funding conditions are today, how they compare to November, December, in terms of funding cost, availability of funding, and what's going on in the interbank market, in multiple private sector banks, and central banks in the region, who also provide funding for you
Jaime Rivera: Sure. Thanks for the asking the question Saul. It's a timely question, because as it turns out it was only three or four days ago that our treasury team completed a round of both depositors and bank precisely to get a better read for what liquidity conditions we might or we can expect during the coming weeks. In summary terms, let me see if I can try to summarize it for you, if I don't do so well, I will be able to take up a follow-up question. From the perspective of our deposits, as we stated in the press release, they have stabilized. Most withdrawal that took place, took place within a context of interbank funding that certainly in some cases disappeared, in some other cases dramatically decreased. That process, in the case most of our depositors, has now stabilized. We don't see our deposit base continuing to shrink, and in fact, it has been gradually increasing. On the interbank market, the change has been most noticeably in that, beginning really only in the last three weeks. We've seen correspondents start to increase their facilities to us for the first time really since September. They have been basically stable or had decreased in the aftermath of the Lehman Brothers affair. Our people came back from the trip to New York encouraged because they found more money than we thought possible. It's coming in slowly and gradually, because bank in general all are doing the same thing as we are. We are slowly converting liquidity into loans and that's what our interbank funding is for them. In general again, we are starting to see some selective increases in the lines of credit and we think this is probably what's going to fund our growth over the next two or three months. Regarding funding costs, they have stabilized, as you can imagine and as stated in the press release they are quite a bit higher than they were before September 15. It doesn't particularly concern us, because we have been more than able to pass on the increased cost to our clients on the asset side. And we are not concerned of about the absolute levels of interest rates because the base rates LIBOR is very low, so the financial impact on our clients of having to pay increased financing cost is not yet a problem. I think I can say in general if you want more color go ahead and ask I will try to provide it.
Saul Martinez - JPMorgan: No, that's very helpful. Jamie. I guess the one follow-up question I would have is, whether you had any change in the composition of your funding in the quarter, in the first part of this year between central banks and also between private sector correspondent banks?
Jaime Rivera: Nothing significant.
Saul Martinez - JPMorgan: Okay, what proposition of your funding can you remind me comes from central banks in the region?
Jaime Rivera: We are not allowed to disclose about the central banks, but the deposits are like we outlined in the press release at about $1.1 billion and slowly increasing.
Saul Martinez - JPMorgan: Got it, great, thanks.
Jaime Rivera: And by the way these are the combination of central banks and some private banks as well.
Saul Martinez - JPMorgan: Got it. Thank you.
Jaime Rivera: Sure.
Operator: And our next question comes from the line of Mario Pierry with Deutsche Bank.
Mario Pierry - Deutsche Bank: Good morning, I have two questions actually. The first one, as you highlighted you have been reducing your credit exposure quite a bit in the last quarter, but I wanted to get more color on this, what sectors are you more concerned about? We saw that there was a big reduction in your loan portfolio to Peru, more so than in other countries that you would think would be higher risk at the moment. So just wanted to know your views on this countries and your views on what sectors concern you the most? And also with the loan portfolio, part of the reduction clearly is the Bank's efforts to reduce exposure, but can you give us some color on what kind of demand are you seeing for your products right now, given this uncertain environment, and what kind of growth can we expect out of the Bank in '09? Thank you.
Jaime Rivera: Sure. Good morning. I would answer the last question you asked first. As you probably know, one of the problems that Latin America as a whole is facing is the lack of trade finance facility. So from that perspective, we're in a privileged position. We are one of the few players still active in a market that has as of late, or since September, diminished in size by proportionally more than the decrease that we have seen in trade flows. And this is why we've seen central banks in Brazil and in other countries having to provide trade finance to try to fill the void left by the many banks that have left the region. So from that perspective, credit demand for our product is not a problem. What is a problem, an issue that we have to manage very carefully is the quality of the credit demand. We now have to, and we are spending more time doing credit analysis to make sure that companies we disburse to will be able to survive what we believe is still going to be a worsening economic downturn over the next three to six months before it stabilizes. So, that's in general terms the answer to your latter question or to your last question. Regarding industry, our concern in the last quarter of the year extended principally and it should come as no surprise to anybody, to companies involved in commodities in general, commodity prices came down in some cases by as much as 50% and that put pressure on the margins of many of the companies. The effect was not equal, was not the same on every company even if they were in the same industry, because depending on the country where they were and the exchange rates and the leverage that they had on September 15, some of them were able to absorb the decreased prices quite easily, some others where not, those who were not were the ones that we were concern about and we collected on. In Peru and in other countries we are also concerned about the mining industry, as you know I'm sure what has happened to the price of metals in general and what used to be a great nearly feel safe business even six months ago is now a good business only for those companies that are extremely efficient and know how to run their operations very well, and, that explains the reduction in some of the countries like Peru, and by the way in Brazil was also country where we reduced our exposure. Again, in mining sector commodities (inaudible), regarding countries it's a difficult statement to make in general terms, but clearly the region that we see as the most fragile from the perspective of its ability to face the economic downturn, it's in general Central America and the Caribbean. That's a bad news. The good news is that we have seen in the last two or three weeks that institutions like the IDB and others have been pumping money into the region. And because these economies are relatively slow, the amount of money that they are receiving might very well allow them to weather the storm easier than we thought, if so we will come back and start working or increase our exposure in those countries as well. But again it was generally smaller countries in Latin America and the Caribbean, which from a country perspective we are most concerned about. Any other part of your question that I left answered?
Mario Pierry - Deutsche Bank: No, I think it was very clear. But let me ask you then I guess as a follow-up, when we look at your income statements, we see there was a reversal for provisions of almost $15 million. If you can explain to us how did this arrive? I thought that the reversal or provisions were pretty much done so just wanted to get more color on that.
Jaime Rivera: Mario, the question has come up in previous conferences. We manage provisions from an overall credit portfolio point of view. So when you look at our provisions you have to look at what happens in two lines. In the loan loss reserve, which is in the asset side, and in the provision against contingencies, that is letter of credit and the like, which is on the liability side. We consider trade finance, because this is what happens, trade finance consists both of loans and letters of credit, and in fact most often letter of credit become loans. So if you look at it from that point of view, which is in the business terms the way we look at it, provisions actually remain the same in the face of a lower credit portfolio coverage increase.
Mario Pierry - Deutsche Bank: Okay. So actually they pretty much offset each other here.
Jaime Rivera: That's correct. Again letters of credits that became loans or new loans that refinance letters of credit.
Mario Pierry - Deutsche Bank: Okay. Thank you very much.
Operator: And our next question comes from Jeremy Hellman with Singular Research.
Jeremy Hellman - Singular Research: Good morning, everybody. So just to make sure I followed up that prior question, if I go a couple more lines down, that 13.83 is the offsetting amount that you are speaking of, correct Jaime?
Jaime Rivera: That is correct, yes.
Jeremy Hellman - Singular Research: Okay. That's what I thought. And following up on the couple of the prior callers' questions, I thought he was asking and there was a question I had in mind too is, looking into 2009 do you expect growth in the portfolio over the course of the year? When we fast forward a year from now do you expect that credit portfolio to be larger than it is today or is it going to decline may be in the first half and then see some recovery in the second half to get us back to flat, can you give us any guidance there?
Jaime Rivera: Yes, I would be glad to and let me open up my statement by saying that the amount of uncertainty to whatever I say is quite large, because of environment that is still playing out, but my general feel is that the portfolio should probably have reached its lowest point. We will continue collecting on some exposures that we are still concerned about, but on the whole if conditions remain relatively stable where they are, all we need is for them to not to become much worse liquidity conditions, we will slowly start shifting some of our cash balances and funding new loans. Again, we do have a lot of demand; some of that demand is of sufficient quality that we can actually meet it and fuel asset growth again. How quickly it will happen? I won't be able to tell you with much more certainty next time we meet, because it depends firstly on what the credit environment does in the region, and that will determine how much money we will want to shell out, and also what interbank funding and general liquidity conditions are like. To the extent that we feel comfortable with the liquidity risk remaining relatively stable, we will be able to press more on the accelerator and fund more loans. So, that's my general answer. I would hope that we have seen the nadir of the portfolio reduction process.
Jeremy Hellman - Singular Research: Okay. You also noted earlier that central banks in the region have been active in providing credit. Looking at them as shareholders of products, do you get any increase in push from them saying, you guys need to disburse more money into the markets or do they just disengage from prodding you at all?
Jaime Rivera: There is a constant contact with central banks, but the way that they support us is through the deposits. So generally what has happened, and this has been the case with a couple of countries that reduced their deposit balances significantly during the last part of year, they came to us and said, look, Bladex I would like you to please try to continue supporting my companies and my banks. And we said, look, we'll be glad to take a look at it under two conditions; firstly, that we find credit worthy borrowers; and secondly, that you pay some or that you repay some of the deposits that you took from us and they did so. So, traditionally our central bank shareholders express support, express their requirements verbally and in exchange for our support we ask for additional balances, but they have absolute deposit balances. But they have absolutely no say in our credit process which is a long established tradition on the part of the company and one of the reasons we think why we have been able to do such a good job at it
Jeremy Hellman - Singular Research: Thanks. A couple more and then I'll jump out. Talking to your portfolio company's borrowers, are you getting any sense of guarded optimism that the US stimulus is going to provide any sort of catalyst for their businesses?
Jaime Rivera: In general no. I have to be quite frankly, in general 50% of the trade of Latin America is directly related to the United States. The United States is the region's main partner. Demand in the Unites States is down. It's still falling. Most companies believe that that process will continue. So, the volumes for most companies are coming down from perspective of business. The fact that the financing available to those companies has come down significantly continues to offer a great business opportunities for us, because we can come in and fill the void of a smaller business with the higher spreads and in the end our portfolio benefits.
Jeremy Hellman - Singular Research: Okay. One last one from me then I will jump out, the hedge fund, if I'm following correctly, you guys were almost all in cash at the end of the quarter and that was the case a quarter ago as well. Within the quarter what was the general composition, where you heavily in cash all quarter or where you well invested at a point and then brought it back down at the end of the quarter.
Jaime Rivera: In general I would say that it's probably the later. The guys running the portfolio reacts very quickly to changes, so there are some periods when we are heavily invested for a few days, and there might be other periods we've been disinvested for as much as a few weeks. And, of course, in the fourth quarter the situation being what it was on field the fog cleared, the guys decided to stay out of the market more than what they usually do. But in general terms again they make use of volatility and they are quite good at it. They will be all out for a couple days and then realize the gains, come back into cash until they see the next opportunity, they will jump back in and do the same thing. The fund has limits to make sure that exposures remain relatively well constrained within our ability to take risks. So if you historically when things haven't gone well at the fund, it hasn't really impacted our bottom-line and when it does go well as it generally does, it makes a good difference for us.
Jeremy Hellman - Singular Research: All right. Okay. Thanks guys.
Jaime Rivera: Sure.
Operator: (Operator Instructions). Our next question will come from Murray Bentbelly with UBS.
Murray Bentbelly - UBS: Good morning. Simple question, would you care to make any public comment about your dividend?
Jaime Rivera: Yes, of course, my statement is the same, I always make, we stand on our record. And our record of the last more than half a dozen years clearly shows that Bladex has tended to increase its dividend as soon as or soon after an increase in operating earnings becomes established. The last time we decreased the dividend was 2002, and for a very good reasons we had a problem in Argentina, we had to cut it. We just paid and those are statements from my point of view, we just paid the dividend corresponding to the fourth quarter so that should give you an indication of how confident we feel as to the remainder of the year. Let's see how this quarter goes, we will have a better view of what's going on. We had a good January, we will review our performance as we do every quarter and let you know accordingly. If we can keep up, our preference, of course, would be to keep up on even increased dividend, but if the environment moves against us, as a result of us going on internationally, it will behoove us to act accordingly. I know it's not a clear answer, but quite frankly given the uncertainties that prevail in the market, the level of uncertainty is such that I cannot be more specific than that. We paid the fourth quarter dividend. We did so quite comfortably. We did well in January. Let's see what happens in the rest of what is shaping out to be a quite uncertain year.
Murray Bentbelly - UBS: I would just say, I appreciate that, I know on the last call when the earnings were really high, you elected not to increase it which I think is the right thing given the storm we saw coming. And I am assured that shareholders will be very happy to hear that because obviously you have the alternative of buying stock below book value as well, which is going to be very appealing to you. So, maintaining some income in this environment will make stockholders feel much more comfortable, I can assure you. Thank you.
Jaime Rivera: No, thank you. And by the way, I think that over time we have established a base of shareholders that, for lack of a better word, share a common view with management. They know what we do. They know how we do it. And so, your expectations reflect the expectations of most of our shareholders. We tend to do or we try to do the right thing, and when we move we like to move based on solid foundations. We don't view volatility in our dividends as something desirable. If we increase it, we'd like to keep it there, and therefore, before increasing, we think about it carefully.
Murray Bentbelly - UBS: Just pass on another thought from the shareholder perspective up here in Boston who's very refreshing to talk or listened to some bankers that just paid attentions to their old fashioned knitting and seemed to be in a very good position, given what has gone on around the world. So we appreciate your conservatism and common sense approach to this. Thank you.
Jaime Rivera: And we appreciate your comments. Yes, we actually feel, for lack of a better word, and it's not something that we like to boast about, but to an extent, we do feel vindicated in our approach and we have reaffirmed it.
Murray Bentbelly - UBS: Absolutely. No question about it, absolutely. Thank you.
Jaime Rivera: Thank you.
Operator: Your next question will come from Arthur Byrnes with Deltec Asset Management.
Arthur Byrnes - Deltec Asset Management: Hi, Jamie. Two questions, which I hope would be brief, but, what percentage of your loan portfolio is trade finance?
Jaime Rivera: 66%, that was brief.
Arthur Byrnes - Deltec Asset Management: Okay. What is the rest of it?
Jaime Celorio: The rest of it corresponds mostly to loans to companies that are involved in trade, mostly companies involved in trade, but transactions that are not documented as trade finance. Our definition of trade finance is that there has to be a dollar of trade backing up every single dollar that we consider trade and report as such.
Arthur Byrnes - Deltec Asset Management: Okay. But this non-trade portion, which is the third roughly, is this something new or is this something you have always done?
Jaime Celorio: We have always done. The difference is that starting six years ago, we have done so only or mostly with companies involved in trade. If you take a look at our guidance over the last three years, we have stated quite clearly that our intention is to keep the proportion between trade and the non-trade exposure in the portfolio at somewhere between 60% and 70%.
Arthur Byrnes - Deltec Asset Management: Okay. But, even the non-trade is trade?
Jaime Celorio: Even the non-trade, most of it is to companies involved in trade.
Arthur Byrnes - Deltec Asset Management: Okay. Second question, the $25 million non-cash write-off that you had to take because of the extended repo period. When you repurchased those assets, does that $25 million get reversed or does it get reversed only to the extent that the price when you repo it is relative to what your original cost was?
Jaime Celorio: It's a variation of the latter. When the repos mature and we repurchase the securities, we will realize gains to the extent that we decide to sell those securities above the price that we would be bind them back. So it depends. We might be able to recover some of it immediately. We might choose to keep it in portfolio, but it's not an automatic thing. It doesn't get reverse when the repos mature, it only gets reversed if we can sell it at a gain or eventually when these things mature.
Arthur Byrnes - Deltec Asset Management: If you market-to-market now, are you worse than the $25 million or better than the $25 million?
Jaime Celorio: Slightly better.
Arthur Byrnes - Deltec Asset Management: Okay. Thank you very much, sir.
Jaime Celorio: Sure, right.
Operator: Your next question will come from Gary Lenhoff with Ironworks Capital.
Gary Lenhoff - Ironworks Capital: Thanks. You answered my questions. Thank you very much.
Operator: (Operator Instructions) Our next question comes from (inaudible).
Unidentified Analyst: Jaime, I had a question on the spreads, and we have discussed this briefly on the last call also. So I mean your spreads were 2.07 last quarter, now they have gone up to 3.53, that's wonderful and it's good to know that you are one of the few people standing. But, how long can the businesses who are taking loans at you at these prices afford to continue taking those loans?
Jaime Rivera: It's a good question and I referred to it during my opening comments in very general terms. I would now try to go into it in a bit more detail. As long as interest rates remain low, and by that I mean LIBOR and fed funds, we can afford to place a very large spread on top of that very low base and the nominal rate will still be relative affordable by our client. If a couple of years from now interest rates should start to rise and LIBOR and/or the fed funds rate starts going 4%, 5%, 6%, 7%, then the result would be that you had 3% or 4% or 6% base, now you have a client having to pay 9% rather than 3% or 4% as they do today, and that might be represent a problem. But right now, the financing cost is not a driving element in any companies' health, not in Latin America. The driving element to their financial health is in general, the degree of leverage and the prices for the products that they are selling, international commodity prices.
Unidentified Analyst: Okay. Thank you. That's very helpful.
Jaime Rivera: Sure.
Operator: Gentlemen, there are no further questions in the queue at this time. So I will turn things over back to you for closing remarks.
Jaime Rivera: Well, ladies and gentlemen. It's mid-February already and as I hope we have been able to convey, we face an uncertain environment, but we do so from a position of real strength. In very practical terms, we're confident of our ability to make the most out of opportunities that we know we haven't yet identified and we know will arrive. And we are equally confident of our ability to manage the obstacles and problems that might and probably will arrive along the way. Most importantly, and I'd like to make this once again, the current environment is highlighting and enhancing Bladex's strategic value. So in closing, let me thank you again for your time. Wish you the best and we'll see each other or we'll talk to each other in April, when we discuss the results of what we hope will be a good first quarter. Thank you very much and until then.
Operator: This concludes our teleconference. You may now disconnect your lines.